Operator: Good day, and thank you for standing by. Welcome to the Atlantic Union Bankshares First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. To ask a question during the session, . If you require any further assistance, . I would now like to hand the conference over to the speaker of today's call, Mr. Bill Cimino, Senior VP of Investor Relations. You may begin.
Bill Cimino: Thank you, Natalia. And good morning, everyone. Atlantic Bankshares' President and CEO John Asbury, and Executive Vice President and CFO, Rob Gorman with me today. We also have other members of our executive management team with us remotely, and in-person for the question-and-answer period. Please note that today's earnings release and accompanying slide presentation we are going through on the webcast are available to download on our investor website, investors. atlanticunionbank.com. During today's call, we'll comment on our financial performance using both GAAP metrics and non-GAAP financial measures. Important information about these non-GAAP financial measures, including reconciliations to comparable GAAP measures is included in our earnings release for the first quarter of 2022. I'd like to remind everyone that on today's call, we will make forward-looking statements which are not statements of historical facts and are subject to risks and uncertainties. There can be no assurance that actual performance will not differ materially from any future expectations or results expressed or implied by these forward-looking statements. We undertake no obligation to publicly revise or update any forward-looking statements. Please refer to our earnings release for the first quarter of 2022 and our other SEC filings for further discussion of the company's risk factors and other important information regarding our forward-looking statements, including factors that could cause actual results to differ from those expressed or implied in the forward-looking statements. All comments made today on today's call are subject to that safe harbor statement. At the end of the call, we will take questions from the research analyst community. Finally, before we begin I would like to remind everyone of our upcoming Investor Day on May 9th, where you'll hear members of our management team go into greater detail on what we've accomplished and what we -- what the next three years should look like for Atlantic Union Bankshares. Registration and further details can be found on the advisory posted this past Monday on our investor website. I'll now turn the call over to John Asbury.
John C. Asbury: Thank you, Bill. And thanks to all for joining us today. Atlantic Union Bankshares is off to a strong start in 2022. On the last quarterly earnings call, I noted that we were set up to start the year better than at any point in my 5-plus years at the company and that we did, tipping into low double-digit annualized loan growth, excluding PPP and what has traditionally been a slow growth quarter for us. This point shows we have momentum and points for the organic growth potential of our franchise. As I've consistently stated, our operating philosophy of soundness, profitability, and growth in that order of priority serves us well as we navigate the challenges of operating not just through a pandemic, but now through generationally high inflation, rising interest rates, and geopolitical uncertainty. While we recognize the pandemic is not yet over, restrictions at our markets have eased and we're all becoming accustomed to the new normal of living with COVID-19. Our corporate office face teams have returned to our buildings, and while some roles are now completely virtual, most work at a hybrid arrangement. Our team succeeded and arguably excelled over the course of this disruption, we're even better when we're physically together, what we do and how we do it is really all about our culture and our people, and we're committed to workplace flexibility as an opportunity to attract and retain talent. We'll continue to take a progressive view toward the changing nature of workplace expectations, and we'll adjust based on our actual experiences. In scanning the horizon, we're incrementally more cautious about the implications of surprisingly high inflation, rapidly rising interest rates, and geopolitical uncertainties such as the tragedy in Ukraine. While this will likely mute economic growth to some extent, as seen in the changes in Moody's forecast since last quarter, for the time being we still don't see it derailing the fundamental positive trends of a growing economy, low unemployment, and the benign credit environment. We continue to believe that the Federal Reserve having already raised short-term rates and signaling multiple short-term rate hikes to follow throughout 2022, is a positive for us as we remain fairly asset sensitive. As a result, our net interest margin should expand from here. In addition to inflation and the consequences of the war in Ukraine, we still face headwinds from supply chain disruption and business clients challenged to fill open positions. While we've said before, we expected that to improve as the year goes on; now, we're not so sure. Despite all of this from our vantage point, we think American businesses have proven their resiliency and that all of this is manageable. Despite the headwinds and uncertainties, Atlantic Union has now had two consecutive quarters of low double-digit loan growth with the first quarter coming in point-to-point at approximately 10.8% annualized, excluding PPP. Average loans on a linked-quarter annualized basis grew 12.8%, excluding PPP. First quarter loan production is typically our seasonal low point, but this year's first quarter was different. Production, while not as high as the traditionally peak of fourth quarter, was still higher than every other quarter over the last two years. While Ralph was down from Q4 it was still higher than the first quarter of last year. So loan growth remains mostly a production story for Atlantic Union Bank. New construction loan originations remained strong and based on our unfunded construction loan commitments and funding schedules, this should be a tailwind for balances this year, just as it was for Q1. We were also encouraged to see C&I line utilization tick up each month of the quarter ending the period at 30%, which is still well below our pre -pandemic levels. It is good to see this trend and committed levels growth. We have a lot of upside here as sales and working capital needs among our client base increased. Our pipelines remain strong, solid, well-balanced between CRE and C&I. They're significantly higher than they were at this point in 2021 and also higher than at the end of the fourth quarter, which means that our strong Q1 growth did not drain the pipeline. We are encouraged by our competitive positioning, the market dynamics, and economic strength in our footprint. All of that plus our expanded lending capabilities continue to lead us to expect upper-single-digit loan growth for 2022. While some quarters may be better than others, one quarter does not a year make. And with so much uncertainty remaining, will want to see more calendar behind us in 2022 before we consider moving off of our full-year expectation of upper-single-digit loan growth. Having said that, I would note we continue to believe we have a long runway ahead of us to grow both organically and through takeaway from our larger competitors to dominate market share here in our home state of Virginia. And this is supplemented by our operations in Maryland, North Carolina, and our specialized lending capabilities in government contract finance and equipment finance. Our asset quality continued to impress, and once again, the credit headline for the quarter was the absence of credit problems. Charge-offs, net of recoveries for the quarter came in at plus $4000 a net recovery for 0 basis points annualized. That's a slight improvement from last quarter's two basis points of net charge-offs, but back in line with the effectively 0 base in last year's Q3 and Q2, quarter-after-quarter, these are levels I have never seen in my nearly 35-year career. At some point, credit losses are going to normalize. The -- given all the liquidity that remains in the system, the low unemployment rate, and a still fundamentally strong economy, we have yet to see any sign of a systemic inflection point. This day will come, we just don't know when. In the meantime, I do enjoy the absence of heads-up phone calls from our Chief Credit Officer. Back to macroeconomics. While the outlook may not be quite as good as last year, it's still good. And overall, we remain optimistic at this time. Here in our home state of Virginia, March unemployment came in at 3%, down from 3.4% in November, and that was the latest number that we had shared when we announced Q4 earnings, and this is better than the national average of 3.6% for the same time period. Having just, again, looked at the unemployment data for the country, there is no more populous state in America than Virginia with such a low unemployment rate. What has not changed is the challenge and businesses to fill their open jobs and this will likely not resolve until we see more people return to the workforce. One would think that higher-cost due to inflation and improved COVID-19 conditions may motivate more people to return to work. We'll see. Rob will talk through the provision for credit losses in our CECL modeling as we posted an increase in the provision instead of releasing for the first time in a few quarters. As Rob will explain, this was due to strong loan growth, incrementally lower economic growth expectations and the geopolitical and economic outlook uncertainties I mentioned before. Turning to expenses, we did still have some noise from one-time charges remaining from December's expense actions, but lesser than last quarter. We closed 16 branches at the beginning of March, and that was 12% of our current branch network. Since the start of the pandemic, we will have reduced our retail branch network by approximately 25% or 35 branches. This reflects our recognition of changing consumer behaviors, never better analytics on customer usage of the branch network and alternative delivery channels and our need to continue to invest in our digital products and technology in order to respond to wage inflation pressures as well. Regarding expenses, Rob will take you deeper into the details in his comments, but we continue to expect that we will hold operating non-interest expense growth to 2% in 2020 following our usual seasonally higher expenses in Q1. our expense management actions combined with upper single-digit loan growth expectations and our asset sensitivity do give us confidence in our ability to generate positive operating leverage and differentiated financial performance while meeting our top-tier financial targets for 2022. From my perspective, with all of the uncertainties and challenges acknowledged, we are looking at a recipe for what could be the best organic growth footing I've seen in my 5-1/2 years with the company. The powerful combination of a growth footing plus asset sensitivity in a rising rate environment plus expense actions already taken plus benign credit should equal top-tier financial performance. As we think about the future of our company and our industry, we want to more rapidly diversify our income streams, both in terms of net interest income and non-interest income. While it has never been a large component of our non-interest income, as I mentioned in the last call, we are making consumer-friendly changes to our non-sufficient funds and overdraft policies in Q3 that we expect to reduce our non-interest income by approximately $4.5 million to $6.5 million on an annualized run rate basis. Examples of coming actions include the elimination of non-sufficient fund fees for consumer accounts, fee-free overdraft transfers, lower overdraft caps, the establishment of a no-overdraft bank on certified checking product, and 2-day advance direct deposit payroll for ACH credits, allowing our customers to get paid two days early. With a rising rate environment, we expect to more than offset these lost fees with increases in net interest income. We are investing in new value added ways to serve our clients to generate additional non-interest revenue over time. We will say more about these plans as they develop at our upcoming Investor Day. One area beyond our core banking operations that we are focusing on is the digital asset ecosystem. As I mentioned in the last call, we began investing in Fintech funds a few years ago. We've added to our position this year and we're using those to inform our digital offerings, and to vet and identify opportunities to enhance those offerings. We're also interested in new and emerging opportunities such as block chain, which we think proved disruptive to existing payment systems and infrastructure. To reiterate our growth strategies at a very high level, they are in order of priority, 1. Driving the organic growth and performance of our core banking franchise, 2. Leveraging financial technology and Fintech partnerships to drive transformation, generate new sources of income and new capabilities and, 3. Selectively considering M&A as a supplemental tertiary strategy, this is an option we will preserve and consider under the right circumstances. As I've said before, we've come out on the other side of the pandemic as a stronger and more capable organization. We've learned to work differently, and our customers have learned to bank differently. And this has enabled us to consolidate 25% of our branches since the pandemic began with better-than-expected customer experience -- acceptance. Despite the branch consolidations, we continue to grow our net consumer households. We continue to work on new projects and improve the omnichannel customer experience with quarterly releases and upgrades to our product offerings. We look forward to sharing what we've accomplished when we provide additional details at our upcoming Investor Day. Our goal remains to achieve and maintain top tier financial performance regardless of the operating environment. We continue to work on ways to make the company more efficient and scalable, while improving and automating processes, and the customer experience. All of this provides room for operating leverage improvements. As we turn the page on the first quarter, I remain confident in what the future holds for us, and the potential we have to deliver a long-term, sustainable performance for our customers, communities, teammates, and shareholders. I'll now close as I always do by reminding the -- that Atlantic Union Bankshares remains a uniquely valuable franchise, dense, and compact in great markets with a story unlike any other in our region. We're scalable with the right capabilities, the right markets, and the right team to deliver high performance even in the most trying of times. I will now turn the call over to Rob to cover the financial results for the quarter. Rob.
Robert M. Gorman: Thanks, John. And good morning, everyone. Thank you all for joining us today. Now, let's turn to the company's financial results for the first quarter. Please note that for the most part, my commentary will focus on Atlantic Union's first-quarter results on a non-GAAP adjusted operating basis, which excludes pre -tax restructuring costs of $5.5 million or $4.4 million after-tax expenses in the first quarter. In the prior quarter's pre -tax restructuring cost of $16.5 million or $13.1 million in after-tax expenses, which was related to the closure of 16 branches and the company's operations center during March of this year. As a reminder, the company expects to lower its annual expense run rate by $8 million or $2 million on a quarterly basis beginning in the second quarter as a result of these strategic actions. In addition, fourth quarter non-GAAP adjusted operating earnings excludes the pre -tax gain of $5.1 million or $4.1 million on an after-tax basis related to the sale of Visa Inc. class b common stock in December 2021. In the first quarter, reported net income available to common shareholders was $40.7 million, and earnings per common share were $0.54, which was down approximately $4.1 million or $0.05 per common share from the fourth-quarter. Non-GAAP adjusted operating earnings available to common shareholders in the first quarter were $45.1 million and adjusted operating earnings per common share were $0.60, which is down approximately $8.7 million or $0.11 per common share from the prior quarter. Non-GAAP adjusted operating return on tangible common equity was 12.69% in the first quarter. The non-GAAP adjusted operating return on assets was 0.98% and the non-GAAP adjusted operating efficiency ratio reported in the first quarter is 58.86%. Turning to credit loss reserves as of the end of the first quarter, the total allowance for credit losses was approximately $111 million comprised of the allowance for loan and lease losses of $103 million and the reserve for unfunded commitments of $8 million. The total allowance for credit losses increased approximately $2.8 million in the first quarter, primarily due to net loan growth during the quarter, and increased uncertainty in the macroeconomic outlook due to high inflation, tightening monetary policy, and geopolitical risks. The total allowance for credit losses as a percentage of total loans was 82 basis points at the end of March, unchanged from the prior quarter. As a reminder, our day 1 CECL reserve was 75 basis points of total loans. The provision for credit losses of $2.8 million in the first quarter increased from the prior quarter's negative provision for credit losses of $1 million, and negative provision for credit losses of $13.6 million recorded in the first quarter of 2021 as the allowance for credit losses has normalized toward pre -pandemic CECL day one reserve levels. As John noted, net charge-offs remain negligible in the first quarter. Now turning the pre -tax pre -provision components of the income statement for the first quarter. Tax equivalent net interest income was a $134.3 million, which was down approximately $7.3 million from the fourth quarter driven by lower PPP loan-related interest fees of $8.4 million, as well as lower net incretion of purchase accounting adjustments of $2.2 million. These declines were partially offset by higher interest income due to average balance growth in the securities and loan portfolios from the prior quarter as excess cash was redeployed into these higher earning assets. In addition, other borrowing costs were lower by $1.2 million in the first quarter, driven primarily due to the acceleration of the unamortized discount related to the redemption of the company's subordinated debt incurred in the prior quarter. The first quarter's tax equivalent net interest margin was 3.04%, which is a decline of six basis points from the previous quarter due to -- comprised of a decline of eight basis points in the yield on earning assets, partially offset by a two basis point decline in the cost of funds. The decline in the first quarter's earning asset yields was driven by the 23 basis point impact of lower loan portfolio yields partially offset by an increase of four basis points due to higher securities yields and the 10 basis point benefit from a more favorable earning asset mix as excess liquidity was deployed into higher yielding loans and securities during the quarter. The loan portfolio yield decreased to 3.49% in the first quarter from 3.81% in the fourth quarter due to the $8.4 million decline in PPP loan related interest and fees, which negatively impacted the first quarter loan yields by 20 basis points and the earning asset yield by 15 basis points. And also the decline of 2.2 million in net accretion of purchase accounting adjustments, which negatively impacted the first quarter loan yields by seven basis points and the earning asset yield by five basis points from the prior quarter. Core loan yields excluding PPP and purchase accounting loan increase in income decreased slightly, which had a three basis point negative impact on first-quarter margin. Reduction in core loan yields is due to the continued pay downs of higher yielding loans and lower loan yields on loan renewals and new production during the quarter. The two basis point decline in the cost of funds is principally due to the four basis point decline in time deposit rates as well as a decrease in borrowing costs related to the $1 million acceleration of unamortized discount mentioned earlier. Non-interest income declined $6.2 million to $30.2 million in the first quarter from $36.4 million in the prior quarter, and that was primarily due to the $5 million -- $5.1 million gain from the sale of Visa Class B common stock recorded in the fourth quarter. Also, low unrealized gains on equity investments of 1.4 from the prior quarter. Bank-Owned Life Insurance revenue declined approximately $589,000 due to debt proceeds received in the prior quarter. A decrease of $217,000 interchange fees due to seasonally lower transaction volumes, as well as lower mortgage banking income of $213,000, which is reflective of a seasonal decline in mortgage origination volumes, and increases in mortgage rates during the quarter. In addition, deposit account service charges declined approximately $212,000 primarily as a result of the seasonal decline in transaction volumes. These non-interest income category declines were partially offset by an increase in loan interest rate swap fee income of $2.4 million due to higher transaction volumes in the quarter. Turning to non-interest expense, reported non-interest expense decreased $14.6 million to $105.3 million in the first quarter, primarily driven by lower restructuring expenses of $11 million as the prior quarter reflected $60.5 million related to the closure with companies up center and a consolidation of 16 branches that was completed in March of this year compared to $5.5 million in restructuring charges associated with the closings in the first quarter. In addition, non-interest expenses declined in several expense categories from the prior quarter, including low-tech and data processing expenses of $747,000 driven by a software contract termination costs incurred in the prior quarter. There is a reduction of $590,000 in professional services expenses associated with our strategic projects, $434,000 decrease in equipment expenses, and lower marketing and advertising expenses of $382,000 in the current quarter versus the prior quarter. Partially offsetting these expense, reductions, salaries and benefits increased by $328,000 during the first quarter. A seasonal increases in payroll-related taxes and 401(k) contribution expenses in the first quarter were materially offset by a decline in the performance-based variable incentive comp, and profit sharing expenses. The effective tax rate for the first quarter increased to 17.5% from 14.4% in the fourth quarter reflecting the impact of changes in the proportion of tax exempt income to pre -tax income. In 2022, we expect the full year effective tax rate to be in the 17% to 18% range. Turning to the balance sheet. Total assets were $19.8 billion at March 31st, a decrease of approximately 5.7% from December 31st levels due to a decline in cash and cash equivalents -- equivalence of $406 million as excess liquidity was redeployed to fund net loan growth of $264 million and net deposit runoff of a $127 million. In addition, the investment securities portfolio declined by approximately a $160 million primarily due to the impact of market interest rate increases on the market value of the available for sale securities portfolio. At period end, loans held for investment were $13.5 billion, which included $67.4 million in PPP loans, net of deferred fees, which is an increase of $264 million from the prior quarter, driven by non PPP loan balance growth of $346 million, partially offset by $76 million in PPP loans that were forgiven during the first quarter. Excluding PPP loans, loan balances in the first quarter increased 10.8% annualized driven by increases in commercial loan portfolio of $297 million or 10.9% linked quarter annualized, and consumer loan balance growth of $48.9 million or 9.8% linked quarter annualized. At the end of March, total deposit stood at $16.5 billion, a decline of a $127 million or approximately 3% annualized from the prior quarter as a decline of a $182 million in high cost time deposits was partially offset by growth in low cost deposits. At March 31st, low cost transaction accounts comprised 58% of the total deposit balances, which is slightly higher than the fourth quarter levels of 56%. From a shareholder stewardship and capital management perspective, we remain committed to managing our capital resources prudently, as the deployment of capital for the enhancement of long term shareholder value remains one of our highest priorities. At the end of the first quarter, Atlantic Union Bankshares and Atlantic Union Bank's regulatory capital ratios were well above well capitalized levels. The company's common equity to tangible assets capital ratio declined from the prior quarter, which was primarily driven by the unrealized losses on the AFF's or Available for Sale Securities Portfolio recorded in other comprehensive income due to market interest rate increases in the quarter. During the first quarter, the company paid a common stock dividend of $0.28 per share, consistent with the prior quarter, it also paid a quarterly dividend of a $171.88 on each outstanding share of series A preferred stock. In addition, the company repurchased approximately 630,000 Common shares for $25 million during the first quarter, and currently has $75 million remaining on its $100 million share repurchase authorization. With the financial impact of the PPP loan program winding down, the pandemic-driven volatility related to expected credit losses and credit loss reserve levels subsiding, and the expectation that interest rates would begin increasing this year, we loaded in our fourth quarter 2021 earnings conference call in January that we set our top-tier financial metrics to be the following: Return on tangible common equity within a range of 13% to 15%, return on assets in the range of 1.1% to 1.3%, and an efficiency ratio of 53% or lower. As an update, we're now projecting that the company will achieve the top end of these previously published top-tier financial metric target ranges for the full year of 2022. As a result of the company's asset sensitivity and updated financial remodeling assumptions, including that the Fed funds rate will move much higher to 2.5% by the end of 2022 and increase on a more accelerated basis, 50 basis point hikes in May and June, followed by 25 basis point increases in the remaining Fed meetings in 2022, but these are much higher than previously assumed in our modeling. As a reminder, our financial performance targets are dynamic, and are set to be consistently in the top quartile among our peer group regardless of the operating environment. As such, given the current economic environment, and our expectation that the Federal materially increased the Fed funds rate in 2022, we are currently reevaluating these targets to ensure they are reflective of financial metrics required to achieve top tier financial performance in the current economic environment. We expect to be in a position to discuss any revisions to our target at our upcoming Investor Day. In summary, Atlantic Union delivered solid financial results in the first quarter and continues to be well-positioned to generate sustainable, profitable growth, and to build long-term value for our shareholders. And with that, let me turn it back over to Bill Cimino to open it up for questions from our analyst community.
John C. Asbury: Thanks Bob and with that we're ready for our first caller please
Operator: As a reminder to ask a question, please press star one on your telephone and to withdraw your question, please press the pound key. Please stand by. Our first question comes from Casey Whitman of Piper Sandler. Your line is open.
Bill Cimino: Good morning, Casey.
Casey Whitman: Good morning, how are you? Maybe I'll start with capital. Just with the TC ratio down to around 7%, can you continue to be as aggressive with buybacks here or is there a level that you're comfortable running that ad or can you go lower, just give us a sense for how you're thinking about capital here with AOCI Investor this quarter.
Robert M. Gorman: Casey, this is Rob, I'll handle that question. As you do recall, as we've noted here that the AOCI impact didn't fairly materially impact on our tangible common equity ratio. Obviously that does not affect any of our regulatory capital ratios. So we are evaluating our capital management actions beyond ensuring that we have capital for loan growth in a sustainable dividend going forward. We are evaluating that. We do expect that the negative impact will earn that back over the next several quarters. Obviously, we're very asset sensitive, as noted. We don't view that as any economic issue for us, it's more of an accounting entry in terms of the fair market value, we have no intention of liquidating our available-for-sale portfolio. So with that, we do expect to start earning that back, but we will be evaluating primarily the level of share buybacks going forward. Not necessarily taking in share buybacks off the table at this point, but we'll evaluate that as we go forward here.
Casey Whitman: And Rob maybe sticking with you, can you just walk us through what each rate hike does to your margin and then what kind of deposit betas you're assuming in that analysis and how quickly you need to move deposit rates assuming you haven't had to move them yet?
Robert M. Gorman: Yes. Casey, as I mentioned, remodeling that the Fed funds rate will be increased throughout the year, and at the end of the year we're modeling that it will be at above a 250 level from the current 50. So several hikes. Those hikes will become faster, as I mentioned, we expect May and June to see 50 basis point hikes followed by the remainder of the meetings at 25 basis points. Just to give you an estimate of what that means to us. So for every 25 basis points, the Fed fund moves and LIBOR follows, Sulfa follows and Prime follows. That's about five basis points on our core margin, approximately about $8 million and net interest income. So we're projecting that the core net interest margin, which if you do the calculation for the first quarter taking PPP and purchase accounting out of the equation, we came in at 295, which was up 15 basis points from the prior quarter due to redeploying that excess liquidity I mentioned. But we have a fairly significant increase in the margin, we're projecting that 295 will end up, if the Fed moves the way, we're suggesting or we're thinking that we could be in the 345 to 350 by the end of the year. So fairly material. In terms of the deposit betas implied in that, we do expect that deposit betas will move really probably after the May 50 basis points we've been thinking that we'd have to see the Fed funds rate move to about 100 basis points, and then you start to see deposit rates, maybe the competition moving on deposit rates. So we're projecting that that will start in May, June. Overall, through the cycle, we're suggesting in modeling that we'll have like a 25% deposit beta on total deposits that'll be more in the 30 -- over 30% on interest-bearing deposits as we go through the cycle to ramp up throughout the year. That's the way we think about it.
Casey Whitman: Okay. . Thanks.
Robert M. Gorman: Thanks, Casey. We're ready for our next caller, please.
Operator: Your next question comes from Catherine Mealor of KBW. Your line is open.
John C. Asbury: Hi, Catherine.
Catherine Mealor: Hi. Good morning. Maybe just one follow-up on the NIM guidance. How should we think about size of the balance sheet is your margin expand those significantly in a lot of that excess cash was deployed this quarter. Is there anything it feel like that's as much of a lever, but just help us think through maybe how much you're expecting to grow the securities book throughout the next year. Thanks.
Robert M. Gorman: Catherine, in terms of securities, we will most likely not be adding to the book. We've increased it over the -- during the pandemic with the excess liquidity we had throughout the pandemic. We've been investing, putting that cash to work throughout the -- since the third quarter 2020. Typically, we've run about 50% of total assets in the securities book pre -pandemic, we're now about 20% to 21%. So we are expecting that we won't be adding to that, the securities book we ought to be using, the cash flows that come off of that kind of bring it down over a period of time more to the 15 -- back to the 15%, that will take a bit of time, but using the cash flows that are coming off the portfolio to fund loan growth going forward. So that will be a liquidity source for us as we expect, as John mentioned, high single-digit loan growth going forward.
Catherine Mealor: Great. That helps. And then on the expenses, I remember last quarter, you gave a range of $385 million to $390 million, and this quarter's expenses is a little bit higher than that kind of run rate. So is that $385 million to $390 million expense range for the full year still a target or are we a little bit above that now?
Robert M. Gorman: Yes. We're going to confirm that guidance 385 -- the initial guidance we had 385 to 390. You have to remember in the first quarter, you really can't pick them, take that and extrapolate that run rate throughout the year. There are seasonal increases there related to payroll taxes 401(k) contributions that related to we pay incentives during the quarter. So they get ratcheted it up and then versus a reset of payroll taxes for higher salary teammates. So if you look at the numbers, so just give you thought calculation that we're looking at, normally the after you take out the one-times this quarter, we had about $99.8 million expense space. To that you've got a backout this seasonal payroll tax in foreign that's about $3 million or so. Offsetting that is we do increase merits in March, so we have one month of 4% merit increase for teammates. So you that a million to offset that. And then don't forget $2 million is coming out starting really April 1st on a quarterly basis due to the branch closures in the op center. So again, if you look forward, we're probably looking at $96, $97 million in the out-quarters, combined that with the first quarter we're still at $385 to $390 on a full-year basis. So that number is going to come down quite a bit, Catherine, in the second quarter.
Catherine Mealor: Got it. That make a lot of sense. Great. Thanks. I'll pop out.
Robert M. Gorman: Thanks, Catherine and Latania, we're ready for our next caller, please.
Operator: And our next question comes from William Wallace of Raymond James, William your line is open.
William Wallace: Good morning. Let's go back to NIM. First, I believe in the text of the release, you said that the purchase accounting accretion was down due to lower prepayments. With rates rising, is it safe to assume that your prepayments will remain low and therefore, this kind of -- this amount that you guide in the second quarter is kind of a more likely run rate type level? Usually we take your table and add a little bit for account accelerated purchase accounting accretion.
Robert M. Gorman: Yeah, the purchase account accretion is going to be down this year, call it four or five basis points for the full year compared to higher levels we had last year, that's right. So in the quarter, Wally, I think purchase was about four basis points on the reported margin, PPP was about five basis points. Purchase accounting should remain in that range, three to four basis points going forward, PPP will basically go away pretty much this quarter or second quarter. And then, again as I mentioned, the core margin was 295 at PPP, that's 3% and then four basis points for purchase accounting. The way we're looking at it is if you look at the core margin, that was up 15 basis points due to the excess liquidity and growth in the portfolio, loan portfolio, and that's where you'll see some significant improvement or experience in the margin as the Fed moves going forward here based on our assumptions.
William Wallace: Okay. And from last quarter I wrote down that you said that you anticipated eight to nine basis points for every 25 basis point hike. I'm curious what you changed in the modeling. Did you get more aggressive with deposit betas or--?
Robert M. Gorman: Yes. Typically -- I guess a couple of things there, Wally. One is that we only get three rate hikes during the year. So basically we thought we wouldn't see any deposit moves for the balance here. So that was part of it. Now with the aggressive rate hikes we're seeing, we have ratcheted that up a bit and moved it earlier in the year. So two prone there.
William Wallace: Do you anticipate, and I know this is guess work to a degree, but do you anticipate that it will be kind of a linear move or do you think that you'd get a little bit more benefit upfront, and then, you'll start to see more noise from your deposit customers, asking for cost as the Fed continues to hike, and you'll start to see a little bit less of that expansion as we get further along with Fed tightening?
Robert M. Gorman: That's exactly how we're modeling it. So very limited moves, but moves nonetheless. Over the next 100 basis point move if you go through May, June, you'll start to see that ratchet up in terms of the betas implications as you get out in probably the second half late in the year. Coming out to that by that 25 basis -- 25% betas I mentioned for total deposits, but it would definitely move slowly to that level.
William Wallace: Okay.
Robert M. Gorman: But we'll see, competition is going to have something to say about it, right?
William Wallace: Yeah.
Robert M. Gorman: So we'll work through .
William Wallace: I would imagine on the loan pricing side as well?
Robert M. Gorman: Yes, that should.
William Wallace: Circling back to the question about the AOCI, it sounds like you said you thought you'd get it back in the next three or four quarters. I thought that your securities portfolio was maybe kind of a little bit longer, dated two to three years. Were you saying that you anticipate getting that capital back because you'll be earning it back, or are you saying you anticipate recovering the a $100 or so million dollar AOCI hit  as securities mature over the next three or four quarters?
Robert M. Gorman: Yeah. What I meant to say there, Wally, was that we'll ratchet that up over the next several quarters to get closer to 775, closer to eight, but we will recapture that and in the next three or four quarters, but it will take some time now. We'll see where rates go from here, but that's our working assumption at this point. I think they will take 2 point to get back to the 820 will take a little longer than that.
William Wallace: Okay. Thanks. And then John, just last question on your prepared remarks. I'm not sure if I heard you correctly. Did you say a $4.5 to $6.5 million fee reduction due to the policy changes around overdraft in NSF or was it $4.5 to $5.5 million? And can you tell us when you anticipate we will start to see those and can you give us an update on any communications you've had with the CFPB?
John C. Asbury: I don't have anything to add on in terms of any regulatory communications related to overdraft practices. To answer your question, yes, $4.5 to $6.5 is the band. This is an estimate in terms of the income loss from these customer-friendly changes. We expect them to begin in Q3 of this year, of course. It doesn't mean we're not sure where we'll be within the span because it's such a variable. It depends upon what's going on with balances and customer behaviors. But I think that's a good conservative band in terms where we're going to be. From our standpoint while it seems clear to us where the pack is headed. And we don't want to wait and we don't want to be a late adopter. We've been -- the hallmark of this company is the client experience, and we have been making consumer-friendly changes. We would rather go ahead and be among the leading pack. We've never been a big overdrafts shop. Not that reliant on it. And we feel like from a value proposition offering, this is a good thing to do. So it's actually I think will be a good message and well received by the customer base. I think what's implied is that someone compelled us to do this. We heard the first question about it. This is our choosing and we've recognized that we're in the earlier pack, at least among the mid-sized banks. But mark my words, this is where it's going. So let's just deal with it now.
William Wallace: John, I thought you disclosed in your K that you received a notice from the CFPB around a potential lawsuit regarding your --
John C. Asbury: No.
William Wallace: Am I my totally mistaken?
John C. Asbury: Your referencing what's called NORA, which is a Notice and Opportunity to Respond and Advise, which is a mechanism the CFPB uses to make inquiries of banks. The CFPB is broadly making inquiries across the industry around overdraft practices. And I'm not -- obviously we -- there's really -- that's basically a set of questions and issues that they outlined. We then respond to them in writing. We choose -- we chose to disclose that because we are transparent, and we thought it was the right thing to do. That had nothing to do with pricing issues, and I'll just leave it at that. And this overdraft related and  the timing of that was also after the first quarter call -- the last quarter call as well when we received that NORA.
William Wallace: Right. So you're saying that the changes and policies that you are implementing around NSF and overdraft were underway because you did mention it during the fourth quarter call in January before you got this notification and the notification doesn't have anything to do with whatever policies that you're -- and changes that you're making. It's something else.
John C. Asbury: I would say this is simply an acceleration of a series of consumer friendly moves that we've been making for quite a while. We did not want to jump the gun. We've been interested to watch what's happening. You can look up on the stream of us and see changes that are happening. And you can see some of the mid-sized banks having made changes as well. But from our standpoint, we think about this as really part of the value proposition of the bank. We think this is where it's going and this is not any new idea.
William Wallace: I agree. Okay, thank you for that clarification. I appreciate it.
John C. Asbury: Sure. Thanks, Wally. And Latania, we're ready for our next caller, please.
Operator:  our next question comes from Laurie Hunsicker of Conference. Point. Your line is open, Laurie.
Laurie Hunsicker: Thanks. Good morning. Just to stay with where Wally was on the on the NSF and I just want to sort of further dive down. So, I think that was running at about 17 million or so a year, how much was in this quarter?
John C. Asbury: Now, let's be clear what we're talking about. You're looking at the sum total of NSF and overdraft charges in Africa. Yeah and so we're talking about the elimination of non-sufficient funds, which is when we returned an item without paying it. That's what's being eliminated. We're not eliminating overdraft fees when we actually create an overdraft for a customer.
Laurie Hunsicker: I'm sorry, I thought I heard you say in your remarks, free overdrafts with, what did I miss there?
John C. Asbury: What you missed is I said free. I said no charges for non-sufficient funds. That's the proverbial bounced check. So if we returned an item without sufficient funds, we will not charge for that item. That is different from paying an item, which creates an overdraft.
Laurie Hunsicker: But you had made comments around overdraft. What were those? Just for ?
John C. Asbury: We have a series of changes that we're making across all of these categories, Laurie. So examples of things that we're doing on overdrafts would be reducing the caps, not charging fees whenever drafts are covered by transfers, either from overdraft lines of credit or accounts which are linked, such as a savings account, which is drawn on to cover an overdraft. And we have some other things going on as well. The two-day advance credit for an ACH payroll deposit has nothing to do with overdraft per se, but that's simply an additional service that we have and the technology is there. We have the capability to give people two-day early access to their direct deposit of payroll, so we decided to do that because we can, and we think that's part of our customer-friendly value proposition. So the 4.5 million to 6.5 million estimate speaks to a basket of various changes, most of which are related to either the NSF fee waiver or other overdraft-related practices.
Laurie Hunsicker: Got it. And then Rob, maybe you can just help put this together. So as we look in the back half of 2022, we look obviously to a drop in NSF, a drop in mortgage banking, how should we be thinking about that quarterly run rate on net interest income, obviously you've got some other lines there that are moving higher. How should we be thinking about that?
Robert M. Gorman: Laurie, the way we're looking at it is when we came into the year, of course, not knowing rates would spike as much and impact the mortgage business as much as it is, or will be as we go forward here, we had said we'd be growing non-interest income of about 8% or 9%, we're backing off on that, obviously, we didn't necessarily project the overdraft issue as well. So we're really looking at about a 2% to 3% growth rate over 2021 full year. Last year was about a $120 million and we're looking at maybe a couple of million more than that this year, give or take. So flattish. So we're dialing that back to the mortgage pullback, which we had said would pull back probably about 40% and that would pick up maybe more in the 50 -- 60% range. So that's down back from last year. Overdrafts has come down a bit. We are looking at additional resources or sources of income, some of which as you saw in the first quarter, loan swap fees were up materially on a quarterly basis versus last year's quarter run rate. So we expect that some of that will continue, and we've also got new sources of revenue that could make up for some of the other reductions I'm talking about here, FX, foreign exchange, for example, SBA 7a gains, those sorts of things. So we're sticking with that at this point.
Laurie Hunsicker: Great. That's helpful. And then just wanted to clarify the PPP forgiveness income, I backed into this number, just wanted an actual -- backed into it at $2.8 million, is that a right number for the quarter?
Robert M. Gorman: Say that again, PPP.
Laurie Hunsicker: The PPP income.
Robert M. Gorman: Yeah. The absolute income, yeah, it's about $3 million. That's right.
Laurie Hunsicker: That leaves you with round numbers about a million and a half or do you have a better number?
Robert M. Gorman: There's only $1.6 million left there to come into the income stream. So we expect the second quarter that that should be done by the end of the second quarter.
Laurie Hunsicker: Great. Thanks. I'll leave it there.
John C. Asbury: Thanks, Laurie. And Latania, we're ready for our last caller, please.
Operator: Certainly and our last question comes from Brody Preston of Stephens Incorporated. Your line is open, Brody.
John C. Asbury: Hi, Brody.
Brody Preston: Hey. Good morning, everyone. How are you?
John C. Asbury: Good. Thank you.
Brody Preston: Rob, so I wanted to circle back to some of the margin comment you made real quick. I think you said 345 to 350 by the back end of the year with the updated rate hikes and data assumptions. I just wanted to ask, was that core or was that headline?
Robert M. Gorman: That was core, Brody. So added another three to four basis points with the purchase accounting in their PPP, as you know, goes away by then.
Brody Preston: Because I was maybe on that headline there just what I had treat models today so I was wondering what the other leverage points where to get. You said you expect to be for the full year at the high end of those ranges and so I just wanted to make sure I was sticking with that margin correctly. And then I did want to ask just on the loan portfolio pricing, I think it's 4%. You said our app therefore is 12% of the 16 or above floor so that 12% should reprice if we get this May hike and the 4%. How many rate hikes do we need to get those off the floors?
Robert M. Gorman: The next 50 basis points which you presumably see in May will bring at about 75% of that. So we'd be down to 1% would still be at floor and another 25 basis points or so would bring it all into the variable rate bucket.
Brody Preston: And within your modeling of NI and I know this is fluid, but are you assuming you get the full re-pricing benefit from the floating rate loans going forward on a static basis or is there any assumption of floating rate becoming fixed rate over time or just any degradation in that floating rate and mix?
Robert M. Gorman: We don't have any degradation going back on the four levels. These rates rise will be fall in money, if you will. If you go out further into '24, we do think rates -- you may see those rates coming down and that could impact the out years there. But at this point in time, we're thinking it's a hike all the way through '23 and then you might see some pull back from the Fed.
Brody Preston: Got it. And what new origination yields coming on currently?
Robert M. Gorman: I think it's, on a blended basis, about 320 or so I think. On the commercial side, that includes floating and fixed rate weighted.
Brody Preston: Got it. And then my last one would just be, I thought the mortgage banking, although it was down, would held up a bit better than I expected, so could you just remind us what the portion or like the purchase versus refi mixes within that portfolio this quarter -- what it was this quarter, and what it typically is?
Robert M. Gorman: Yeah, so this quarter actually, it held up in the 35% to 36% range. That was down a bit from fourth-quarter, which is I think around 40%. We do think that that's going to come back down because late in the quarter we saw mortgage rate spike 5% -- up to 5% or a little higher so that's expected to come down, we think on a normal basis you see 20% to 25% of the origination book, regardless of the rates, we have a 75% purchase and a 25% -- 20% to 25% refi. So we think that's going to be coming down to that -- those lower levels.
John C. Asbury: And Brody as you know, this is really deal of access National Bank mortgage shop under the leadership -- the  leadership at Dean hacker merger, it's never been a big refi shop. It also doesn't really do the accordion that you saw often see. Dean would tell you that we don't add a lot of people to mortgage when times are good, only to turn around and eliminate them when times are not so good. What that means is it somewhat limits the capacity during boom times, but at the same time, doesn't fall as much. So they do a really good job of managing that business for profitability, regardless of the environment which is a bit uncommon.
Brody Preston: Got it. Thank you very much for taking my questions. I appreciate it.
John C. Asbury: Thank you.
Robert M. Gorman: Thanks, Brody.
John C. Asbury: Thanks, Brody. And thanks everyone for joining us today. We look forward to speaking with you in a few weeks up at NASDAQ. Have a good day.
Operator: This concludes today's conference. Thank you for participating. You may now disconnect.